Beau: Please standby. We are about to begin. Good morning, everyone. My name is Beau, and I will be your conference operator today. Welcome to Luxfer Holdings PLC's Fourth Quarter and Full Year 2024 Earnings Conference Call. All lines have been placed on mute. After the speakers' prepared remarks, we will hold a question and answer session. Now I will turn the call over to Mr. Kevin Grant, Vice President of Investor Relations and Business Development at Luxfer Holdings PLC. Kevin, please go ahead.
Kevin Grant: Thank you, Beau, and good morning, everyone. Welcome to Luxfer Holdings PLC's fourth quarter and full year 2024 earnings conference call. This morning, we will be reviewing Luxfer Holdings PLC's financial results for the fourth quarter ended December 31, 2024. I am pleased to be joined today by Andy Butcher, our Chief Executive Officer, and Steve Webster, our Chief Financial Officer. Today's webcast is accompanied by a presentation that can be accessed at luxfer.com. Please note any references to non-GAAP financials are reconciled in the presentation. Before we begin, a reminder that any forward-looking statements made about the company's expected financial results are subject to future risks and uncertainties. We undertake no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise. Please refer to the Safe Harbor statement on Slide two of today's presentation for further details. During today's call, we will be providing adjusted fourth quarter and full year 2024 financial results excluding the graphic arts business, and legal recoveries or expenses from both 2024 and 2023. Now let me introduce Luxfer Holdings PLC's CEO, Andy Butcher. Andy, please go ahead.
Andy Butcher: Thank you for joining us. I would like to start by expressing my sincere appreciation to all Luxfer Holdings PLC associates for their extraordinary efforts throughout 2024. Their dedication enabled us to achieve solid margin improvements despite a slight decline in revenue, to generate robust cash flow, to reduce our net leverage significantly, and to continue to return meaningful capital to shareholders through dividends. All while positioning Luxfer Holdings PLC for sustainable long-term success. Q4 was especially pleasing with elevated revenues and gross margins, strong adjusted earnings per share of $0.29, and very significant cash generation. Overall, 2024 was pivotal for Luxfer Holdings PLC as we sharpened our focus on core competencies and took decisive steps to enhance operational efficiencies. A strategic review in late 2023 identified key initiatives including the planned sale of our graphic arts business, which no longer aligns with our margin and profitability targets. This sale remains on track for completion in the first half of 2025, enabling us to streamline our portfolio and concentrate on higher margin opportunities. We strengthened our manufacturing operations in 2024 by securing raw material supplies and finalizing additional long-term agreements with customers. We also remain attentive in assessing market conditions to maximize opportunities. I want to briefly remind you of some of the specific achievements of 2024: executed on our new SCBA cylinder contracts, navigated strong second half cyclical demand in both our flameless Russian heaters and our powders businesses, completed the sale of our Lakehurst property, and benefited from critical operational consolidations. In particular, the amalgamation of our powder facilities has already driven higher efficiency and performance, and the simplification of our gas cylinders operations at one of our U.S. manufacturing sites led to positive momentum. All these operational improvements directly contributed to delivering an adjusted EBITDA margin of 13.7% for the full year, demonstrating our strong financial and operational execution. As we enter 2025, we remain mindful of ongoing macroeconomic uncertainties, including geopolitical tensions, evolving trade policies, and changing tariffs, which could create demand and cost pressures. However, the strategic initiatives undertaken in 2024 have positioned us to remain flexible and responsive. Our deep industry expertise, ongoing investments in R&D, and commitment to delivering high-quality specialized products will be critical as we address potential headwinds. While external variables remain a factor, we are confident in our ability to execute on new commercial opportunities and position Luxfer Holdings PLC for sustainable long-term success. With that, I will hand the call over to Steve, who will provide a more detailed review of our financials and share our 2025 guidance. Steve?
Steve Webster: Thanks, Andy, and good morning, everyone. Now let's turn to Slide four. In the fourth quarter, we delivered strong results. Sales were $96 million with gross profit of $22.5 million, yielding a 23.4% gross margin. Adjusted EBITDA came in at $13.8 million or a 14.4% margin, while adjusted EPS rose to $0.29, up 61% year over year. Cash flow from operations was significant at $25.7 million, and net debt was reduced to $41 million, marking a reduction of $28.9 million in 2024. Looking at the sales bridge, revenue growth was driven by defense demand in Electron, including significant pull-ins of 2025 orders totaling over $3 million, while minor FX headwinds and softer alternative fuel volumes in gas cylinders provided a partial offset. Turning to the profit bridge, adjusted EBITDA improved from $9.5 million to $13.8 million, aided by net deflation and favorable volume and mix. We were particularly pleased with the EBITDA margin increase to 14.4%, which underscores the success of our cost and restructuring efforts. For the full year, sales totaled $362.3 million with adjusted EBITDA of $49.8 million at a 13.7% margin. Adjusted EPS was $0.99, while free cash flow reached $47.7 million, benefiting from lower cash tax, our ongoing focus on working capital management, as well as the impact of two nonrecurring items being the recovery of historic legal costs and the proceeds of the land sale. You can find these financials along with full-year bridges in the appendix.
Steve Webster: Now let's turn to Slide five for a detailed review of Electron's fourth quarter financial performance. In the fourth quarter, Electron delivered robust performance with sales rising 31.6% year over year to $47.5 million. This uplift was propelled by strong demand for defense materials, especially MREs and flares, as well as ongoing growth in transportation sales for our automotive alloy. While underlying sales dipped from the third quarter, the early 2025 order pull-ins helped offset some seasonal slowing in other end markets. Transportation sales increased overall, although automotive catalysis continued to face headwinds from competitive pressures and market weakness. Meanwhile, General Industrial remained subdued, reflecting broader macro softness. Adjusted EBITDA increased to $9.4 million, representing a 19.8% margin, up significantly from the prior year and marking our fourth consecutive quarter of margin expansion. These gains were primarily driven by increased sales volumes and optimized product mix. Turning briefly to the full year, Electron delivered further margin expansion supported by cost discipline and favorable product mix in key end markets. This performance highlights our ongoing commitment to driving through operational efficiencies and targeted capital deployment. Now please turn to Slide six for a detailed review of Gas Cylinders' fourth quarter financial results. Gas Cylinders ended the fourth quarter with $48.5 million in sales, down about 6% year over year, but up 14% from Q3, reflecting sequential gains across most product lines. Compared to a particularly strong prior year, defense versus sponsored healthcare demand overall was relatively flat. General industrial also remained stable, while transportation was weighed down by weaker alternative fuel sales in North America, partly offset by stronger aerospace revenues as well as increased hydrogen mobility demand in Europe.
Steve Webster: Adjusted EBITDA came in at $4.4 million, down 350 basis points from Q4 last year, largely due to unfavorable mix and lower production leverage. Despite the margin pressure, contractual pricing improvements and operational efficiencies at our North America facilities helped mitigate the impact. For the full year, sales were essentially flat, with higher SCBA demand offset by a weaker alternative fuel market. Nonetheless, we saw margin improvement from contractual renegotiations and leaner operations. Going forward, Gas Cylinders remains focused on disciplined cost management and targeted investment to support further operational efficiency gains with long-term profitable growth coming from its alternative fuel segments. Now please turn to Slide seven for full-year 2025 guidance. As we enter 2025, economic uncertainties persist, but we remain focused on innovation and operational efficiencies from the Luxfer Holdings PLC business system, positioning us to maintain margins and drive long-term profitability. While we anticipate revenue to remain flat compared to 2024, we project adjusted EPS in the range of $0.95 to $1.05 and adjusted EBITDA between $48 million and $52 million. Disciplined cost management and product mix optimization should support margin expansion over time. We remain committed to a strong balance sheet and expect free cash flow of $20 million to $25 million, reflecting the absence of 2024's one-time legal recovery and land sale benefits, alongside higher cash taxes and increased investments in efficiency and growth opportunities. Our plan is to keep full-year net debt to EBITDA around 0.7 times, while maintaining current dividend and share buyback levels.
Andy Butcher: Despite macroeconomic uncertainties, we are confident that our strategic focus, operational discipline, and commitment to innovation position Luxfer Holdings PLC for long-term value creation. Now I would like to turn the call back to Andy for further comments on the outlook for 2025. Thanks, Steve. Before we move on to the next slide, I firstly want to provide additional context on how we see 2025 shaping up.
Andy Butcher: We anticipate relatively unchanged business performance over the full year, with some near-term headwinds. Within clean energy, market dynamics remain mixed. While Europe remains committed to hydrogen adoption, the pace of new program launches has slowed, leading to softer demand in the short term. In addition, Zirconium Orthocatalysis continues to face pressure from lower-cost competitors, and the adoption of CNG-powered engines in North America is sluggish. This has attracted new competitive cylinder capability, delaying our anticipated growth in that segment. As a result of this, as well as the previously mentioned pull forward of Q1 2025 orders into Q4 2024, we do expect this year's Q1 earnings to be softer than those in last year's first quarter. Despite those temporary near-term headwinds, though, our core business remains strong. Electrolux continues to benefit from consistent demand for flameless Russian heaters and other defense applications, reinforcing this arena's role as a steady contributor to growth. At the same time, we maintain a strong market position in SCBA, where first responder and municipal agency funding has to date provided baseline stability, and aerospace margins and volume continue to improve.
Andy Butcher: As we navigate these market conditions, we are maintaining a disciplined focus on execution, operational efficiency, and long-term growth opportunities. This brings me to an important point. While the near-term environment in clean energy is mixed, we continue to invest in the right technologies to be work-ready when demand accelerates. Please turn to slide eight. One of the ways we are ensuring long-term success is through the Luxfer Holdings PLC business system, which continues to drive innovation, operational excellence, and strategic execution across our business. A key example of this is our progress in hydrogen transportation solutions. While near-term hydrogen market adoption remains measured, we believe this sector will grow significantly over time as global investments in clean energy infrastructure continue. By applying principles such as lean operations, standardized processes, and data-driven decision-making, we have successfully developed our G Store Go HydroSphere trailers and IGSTORPRO bundle cylinder packs. These next-generation modules have now cleared a critical step toward commercialization in Europe, gaining key certifications for bulk hydrogen storage. Our GStor Pro bundle significantly outperforms steel-based solutions, storing a substantially greater amount of hydrogen in a lighter footprint. Meanwhile, our GStor Go HydroSphere design reduces cylinder count and overall weight, translating into safer, more efficient transport as hydrogen adoption scales. We have already seen initial customer interest, reinforcing our confidence in the long-term revenue opportunities for these innovations. I am pleased to confirm that we have recently completed, on schedule, the manufacture of our first forty-foot module in our expanded UK facility, as seen on this slide, hitting an important milestone in our clean energy journey and demonstrating how we bring advanced products to market efficiently and effectively. Looking ahead, these award-winning next-generation transportation modules have the potential to be a key enabler of hydrogen adoption as the market evolves. Supported by the discipline and agility of the Luxfer Holdings PLC business system, our clean energy strategy positions us to succeed in this space as the transition gains momentum in the coming years. As we close today's presentation, I want to take a few moments to summarize our progress in 2024 and how Luxfer Holdings PLC is positioned for long-term success. First, we continued to execute with discipline during 2024, driving strong cash generation and reinforcing our financial foundation. This stability allows us to invest in strategic initiatives while maintaining flexibility to adapt to evolving market conditions. Second, we advanced clean energy innovation, securing critical European certifications for our G Stor Go HydroSphere trailers, reinforcing our ability to serve the evolving hydrogen economy as demand develops. Third, our focus on operational excellence continues to deliver results. We posted sustained margin improvements, demonstrating the efficiency and discipline embedded in our operations. Fourth, we made significant strategic progress, capitalizing on our facility consolidations and remaining on track to complete the sale of our graphic arts business in the first half of 2025, allowing us to sharpen our focus on core growth areas. Finally, as we enter 2025, we remain well-positioned to navigate macroeconomic uncertainties. With a continued focus on innovation, disciplined execution, and strategic investments, we are confident in our ability to create long-term value for both our customers and shareholders. These achievements reflect our commitment to strengthening Luxfer Holdings PLC for the future, balancing near-term execution with long-term opportunity. With that, I would like to turn the call back to the operator for the Q&A session. Beau, please go ahead.
Beau: Thank you very much, Mr. Butcher. Ladies and gentlemen, at this time, if you do have any questions or comments, simply press star one. And if you find your question has been addressed, we will go to Steve Ferazani at Sidoti. Steve, please go ahead.
Steve Ferazani: Good morning, Andy, Steve. Thanks for so much color. It clearly was an eventful 2024 for Luxfer Holdings PLC. I did want to start by asking about the financial impact of the pull forward in Q4. Obviously, it was much better than our expectations. I am just trying to figure out the impact on 2025 and your guidance and how much the financial impact was.
Andy Butcher: Good morning, Steve. Yes, thank you. We are very pleased with 2024 and particularly Q4. The two specific pull forwards that we have quantified in our release are $3.4 million, both in defense and both initiated by customers. The largest was related to flameless Russian heaters. There has been a strong award from the US government under MRE meals ready to eat 45. And so a pull forward was initiated by both the food packers and the military, such that some of that was shipped in 2024. The second was a flares power to export order. Those two together are the $3.4 million. Separately, we also identified some pull forwards and overstocking at alternative fuel customers in CNG, although we have not quantified that.
Steve Ferazani: Okay. Can you talk a little bit about how that CNG market is developing? Certainly, we are hearing 2025 is probably going to be more of a test phase year. But there is a new truck manufacturer being added. Tell us your take on how 2025 develops for CNG and then any change in your long-term outlook for that market?
Andy Butcher: Yes. I think that is all correct, Steve. Despite the current slowing, I would say the potential growth in CNG in North America remains very, very exciting. Overall, the Class eight truck market is expected to decline in 2025. There is a reduced fleet expansion and some high inventory levels. For example, preliminary Class eight truck orders in January were down 50% year on year. And within that, conversion to CNG by new fleet operators, I would describe as measured, careful, thoughtful, initial trials. Nevertheless, as you mentioned, we have now seen three of the truck OEM brands offering trucks with the X15 and CNG engine. So we have projected our related cylinder sales to be quite light in early 2025, and strengthening somewhat as we move later into the year. I guess the key takeaway is that this market is going to be lumpy and competitive for a while, but we have an approved lightweight product. It has been used by one of the major system providers. And we do expect to benefit as the market develops.
Steve Ferazani: Excellent. Thanks for that color. Updates on the graphic art sale?
Steve Webster: Yeah. Thanks, Steve. I will take that. As I said, I think last quarter, we were expecting to complete the sale in the first half of this year. Andy confirmed that in the prepared remarks. I am pleased to say that we are actually working on an exclusive basis with Avaya. We are quite excited. There will be a good fit for graphic arts. They are working through their diligence now. And as I say, we are on track for a first-half close.
Steve Ferazani: Excellent. Thanks a lot. Another question everyone is getting asked this quarter, tariff impact, is that embedded in your guidance? And how do you think, given the current structure, which can change, how you think tariffs can impact Luxfer Holdings PLC?
Steve Webster: Yeah. I will take that one as well, Steve. So yeah. I mean, it is clearly a very fast-moving situation. Trade policy has not fully developed. Neither have the responses that may entail. We have put some data in the risk section of our 10-K about the relatively minimal impact on our third-party sales. Certainly in respect of those countries that have been highly prominent such as Canada, Mexico, China. It is relatively minimal. We are talking about sort of $20, $25 million of sales either way, so that is small. I suppose there is a potential for it to spread further, so between the US and Europe and the UK. Clearly, we have manufacturing operations in the UK and the UK electron business will export into the US. Steel in this tends to go the other way. So that could have a financial impact if we are unable to pass on those costs. That said, not significantly concerned about it at the moment, Steve.
Steve Ferazani: Okay. That is helpful. And then just if I could get one more in. You talked about elevated CapEx in 2025. Can you provide any detail, any specific projects you want to mention?
Andy Butcher: Thanks, Steve. This is Andy. Yes, we were very pleased with our cash generation in 2024, both the underlying cash generation from the businesses, as well as some of those special projects that Steve talked about. So we are projecting CapEx somewhere in the region of 30% to 40% higher this year. We have a whole basket of projects related to that. Some of them are around growth and cost reduction, some around infrastructure and maintenance and restructuring. So we have got a nice basket of small but important capital investments rather than any one or two prominent significant ones. But very pleased with the cash generation of the business last year that is supporting that.
Steve Ferazani: Great. Thanks so much, Andy. Thanks, Steve.
Beau: It appears we have no further questions at this time. I would like to turn things back to CEO Andy Butcher for any closing comments.
Andy Butcher: Thank you, Beau, and thank you for joining us today, everyone. As we reflect on 2024, it is clear that the strategic initiatives we have undertaken are delivering meaningful results. Our focus on operational excellence combined with innovation and disciplined execution has positioned us to navigate an uncertain macroeconomic environment with confidence. 2025 presents both opportunities and challenges. We remain committed to delivering value for our customers, shareholders, and employees by staying agile, improving efficiencies, investing in key growth areas like clean energy, and maintaining our financial strength. I would like to once again thank our associates around the globe for their dedication. They are the driving force behind Luxfer Holdings PLC's success. We are excited about the path ahead and look forward to updating you on our progress in the coming quarters. Thank you for your attention.
Beau: A link to a recording of this webcast will be available in about two hours on the Luxfer Holdings PLC website at www.luxfer.com. Again, thanks so much for joining us, everyone, and we wish you all a great day. Goodbye.